Operator: Welcome to the RWE Conference Call. Markus Krebber, CFO of RWE AG will inform you about the developments in the first quarter of fiscal 2020. I will now hand over to Thomas Denny. Thank you
Thomas Denny: Good morning, ladies and gentlemen. Thank you for joining Markus and myself in our conference call on RWE's results for the first quarter. I'm pleased to be here with you today and want to thank you for welcoming me to the investor and analyst community. I'm very much looking forward to working with you all, as we continue our journey along RWE's path to providing renewable and flexible energy for sustainable life. And of course, I hope to meet all of you in person soon. And with that, let's move on to our earnings results. In light of the new steering models, we presented to you at the Capital Market Day, we have restated the previous year's figures according to the new group structure. In order to compare like-for-like, we have provided pro forma figures, meaning that assets taken over from E.ON are included for adjusted EBITDA and EBIT for the full year 2019. Furthermore, we have published the detailed generation data also on a pro forma basis on our website. Let me now hand over to Markus.
Markus Krebber: Yes. Thank you, Thomas and also a warm welcome to everybody on the phone. I really hope you are all well, given the current challenging situation around COVID-19. Fortunately in our business, we have seen limited impact from the pandemic so far. From an operational and financial point of view, it has been a good start into the 2020 fiscal year. We increased our adjusted EBITDA in our core business by 16% year-on-year on a pro forma basis to €1 billion. Adjusted EBITDA of the RWE Group stands at €1.3 billion for Q1. We confirm our full year guidance including our target to increase the dividend payment to €0.85 per share for this year. And we are also well prepared to weather this crisis financially. Besides our long-term hedge program which ensures long-term earnings visibility, we have no short-term financing requirements and sit on a comfortable liquidity position. Even after the seasonally high liquidity requirement in the first quarter, which were driven by the purchase of CO2 certificates and cash outflows from variation margins, our position in cash liquidity and marketable securities stood at above €4 billion at the end of Q1. In addition, we currently have undrawn credit lines of more than €1 billion and our €5 billion revolving credit facility. The timing effects of variation margin and the seasonal buying of CO2 certificates are the main reasons for the increase in net debt to €8.7 billion. The latter is a typical pattern in the first quarter. Most credit rating agencies recently revised our credit rating. Moody's has changed the outlook to positive and Fitch confirmed BBB flat with a stable outlook. We also received positive recognition in the sustainability rating by CDP and have been awarded with a B rating. This is above the average of all participating companies and we are delighted that our day-to-day work in making the energy transition happen is well recognized. You will have seen our announcement that this year's AGM will switch to a virtual format given the current situation. It will take place on June 26 and I can reconfirm our dividend proposal for fiscal 2019 of €0.80 per share. Let's now move on to the details of the first quarter. In our core business, adjusted EBITDA increased by 16% to €1 billion as a result of a good performance in all segments. Broadly speaking, the very good weather conditions increased earnings from offshore and onshore wind solar. The commercial optimization of our power plant dispatch and the resumption of the GB capacity payments increased the results of the hydro/biomass/gas segment. And the Supply & Trading division continues to put in a strong performance. However, it's not on a level with last year's exceptional performance. Ladies and gentlemen, in the first quarter, our wind and solar business made good progress towards our growth target for 2022 and beyond. Installed capacity increased to approximately 8.9 gigawatts and our expanding development pipeline offers good prospects for future growth. Looking at the details, our 151-megawatt U.S. onshore wind farm Peyton Creek has been fully commissioned and tax equity financing was raised. Investment decision to proceed with our 342-megawatt Kaskasi project paves the way for the next offshore wind farm off the German coast. Contracts with our main suppliers, namely Siemens Gamesa renewable energy, blade industries and Seaway have been signed. Offshore construction work will start in Q3, 2021. Furthermore, we have entered Taiwan's offshore market via strategic partnership with Asia Cement Corp. The partnership is for our Chu Feng offshore wind development project which intends to participate in the next grid allocation round in Taiwan offshore auction. The project has a planned installed capacity of up to 448 megawatts and will be located off the Northwest coast near Hsinchu City in the Taiwan's trade. With an installed capacity of 8.9 gigawatts and with around further 2.9 gigawatts under construction we are well on track towards our target of more than 13 gigawatts in 2022. Our construction program is also progressing well and so far we have only seen a small impact from COVID-19. On slide six you can see the main projects currently under construction. At our Triton Knoll offshore project, we achieved an important milestone when offshore construction work started in Q1. As previously mentioned, the final investment decision for the Kaskasi offshore project has been taken and the preparation phase has started. The Clocaenog Forest onshore wind farm is in the commissioning phase and has already received payments from its two-sided CfD but final COD will only be reached after final remediation works are completed. Only then it will be reported under installed capacity. At Cranell onshore side, everything is well on track and we expect full commissioning in the current quarter. At our huge onshore wind project Big Raymond we have experienced disruptions in the turbine supply chain due to COVID-19. We therefore currently expect some delay but COD is still expected in Q4 2020. Construction work at our 250-megawatt onshore projects Scioto Ridge is well on track. Point of interconnection has been energized and turbine erection has commenced. From the U.S., let's move over to Australia in the Limondale Solar project. Installation has almost been completed and the next step is to prepare the grid connection. However, also due to COVID-19, we are currently experiencing slight delay of a few weeks. COD is now expected for Q4 this year. With that, we can now move on to the details of the individual segments. The offshore wind division realized an adjusted EBITDA of €431 million. Year-on-year this is an increase of 31% thanks to higher wind speeds. Gross cash investments in Q1 amounted to €160 million mainly driven by Triton Knoll construction work. In our onshore wind solar division, we see a similar development in Q1 resulting in an increase of adjusted EBITDA to €209 million. Besides portfolio additions of approximately 380 megawatts year-on-year, better weather conditions also helped to increase adjusted EBITDA by 20% in total. Most of our gross cash investments are for the U.S. onshore project Big Raymond; the 126-megawatt Cassadaga project; as well as Scioto Ridge projects. All are due to be commissioned by year-end. The hydro/biomass/gas segment had a good start to the year as well. Adjusted EBITDA nearly doubled to €270 million, mainly based on the following. Firstly, higher earnings from the commercial optimization of our power plant dispatch in volatile markets. Secondly the income from British capacity payments contributed €42 million in Q1 2020, while in Q1 2019, they were suspended. Let me also highlight that in the T-4 auction held in Q1 for delivery in 2023 and 2024 we successfully secured payments for 6544 megawatts of capacity. The auction cleared at £15.97 per kilowatt per year. Moving on to the earnings development of Supply & Trading. Once again, the segment kicked off the year with a strong Q1. Adjusted EBITDA amounted to €170 million on the back of a strong trading performance and good results from the gas and LNG business. We didn't expect Supply & Trading segment to replicate the exceptional performance of the first quarter of previous year. Ladies and gentlemen, having now reported on the core business, let's move on to the Coal/Nuclear segment. The overall positive Q1 trend also continued here. Adjusted EBITDA increased to €282 million. Earnings improved on the back of higher realized wholesale prices and an updated production plan. While we saw an impact from the production restriction at the Hambach mine in 2019, we now have clarity going forward due to the lignite phase out agreement. Nevertheless, we need to consider implications from the implementation of the accelerated exit plan. Moving on to just -- to the earnings drivers down to adjusted net income. Adjusted net income amounted to €603 million in Q1 due to the high adjusted EBITDA of RWE Group. However, we had an unexpected negative effect of around €150 million in our financial result. Since our long-term liabilities consist almost only of provisions, we need a financial asset portfolio and derivatives to manage our leverage FX and interest exposure. And here we have been hit from the COVID-19 market turbulences. We experienced losses in the financial asset portfolio. And negative mark-to-market valuations of FX derivatives. Adjustments in tax are applied with a general tax rate of 15%, in line with expected midterm tax level for RWE Group. And now on to the adjusted operating cash flow, a new KPI for the new RWE, now that RWE stand alone and its distributable cash flow is no longer applicable. The adjusted operating cash flow shows the impact on net debt, from operating activities. It is adjusted for special items and other effects that balance out over time. The utilization of nuclear provisions is not included. We consider this as a financial cash flow, since when the nuclear provisions are utilized, they are refinanced by our financial debt. In Q1, the adjusted operating cash flow of €672 million, results from the high adjusted EBITDA, as well as a cyclical pattern in working capital, that we typically see in Q1. As mentioned earlier, in Q1 the change in working capital of around minus €400 million is characterized by the purchase of carbon certificates. Furthermore, in Q1 2020, we have an increase in accounts receivables from the high levels of generation from wind and solar. The repayment for the British capacity market from 2018 and 2019, as well as a reduction of gas inventory partly offset this. For the full year 2020, we expect to end up with a positive change in working capital due to the resumption of the British capacity market as well as lower gas inventories, compared to year-end 2019. Turning to the details on the development of net debt, net debt increased to roughly €8.7 billion in Q1, first and foremost, due to the timing effects from hedging activities. Variation margins and CO2 provisions accounted for, an effect of roughly €1.8 billion. This is driven by the realization of commodity transactions for which we had received variation margins in earlier years, as well as further variation margin payments on the back of lower commodity prices in Q1. This is partly offset from the positive effect from changes in provisions, in particular pension provisions. Losses from planned assets, due to COVID-19 are more than compensated for, an increased discount rate for pension provisions. We see a leverage factor of around three time net debt to EBITDA at year-end. However, further volatility in commodity prices and interest rates could temporarily drive this slightly above three times. But if this is the case, we are confident, it would not be permanent and that we would return to our target level in the medium-term, without an impact on our planned CapEx program. Finally moving on to the outlook for fiscal year 2020, as I already said we confirm our outlook for this year. Adjusted EBITDA for the RWE Group will range between €2.7 billion and €3 billion, adjusted EBIT between €1.2 billion and €1.5 billion. For adjusted net income, the range is €850 million to €1.15 billion. The dividend target is €0.85 per share, for fiscal 2020. And with this, I conclude my remarks. And I'm now happy to take your questions.
Thomas Denny: Thank you, Markus. [Operator Instructions] And operator, please now start the Q&A session.
Question-and:
Operator: Thank you very much. [Operator Instructions] Our first question comes from the line of Alberto Gandolfi from Goldman Sachs. Please go ahead.
Alberto Gandolfi: Hi. Good morning, everybody. And Thomas you're welcome and Markus congratulations for the recent very good news. So I hope you all are well and safe. I'll stick to two questions. The first one is, data points indicate that at least in Europe this year we could see a 30% reduction in wind installations compared to let's say, the forecast that we had back in January. Do you seem to talk about very limited disruption to your addition plans for 2020? Can you maybe talk about execution risk more in depth? Are your construction sites working? Do you see any bottlenecks in the supply chain? Any risks, it looks like there's a big dichotomy between large developers like yourselves and smaller developers which actually may suffer big reduction in additions this year. So I'm trying to gauge risk in execution and scale advantage here. The second question, yesterday, we saw a big institution effectively exclude saying that they sold out their position out of RWE. They're basically putting an exclusion list, because of your ongoing exposure to lignite. I was wondering, if this move might actually accelerate your portfolio restructuring plans and a faster exit from these activities. Thank you.
Markus Krebber: Yeah. Thanks Alberto. To your first question, I mean, we are in constant dialogue with all our suppliers for the different sites. And I mean, discussing also to move equipment from one to the other, where it's needed more and we have some flexibility since we run a big portfolio. So we are really, I mean doing it together with them. And I mean, as I said for the construction program we have this year we only see the two projects which I highlighted where we only see very little delay so far. And I mean many of the – especially on the turbine side have already taken on construction again on their major sites in Asia, but also Europe and the U.S. So from what we know today, I don't see more consequences than we highlighted in this call. Of course, if the COVID crisis kind of worsens again, I mean, we don't know because it's new for all of us. But what we can judge so far it is as you said very rightly, only very, very limited. But I mean, we are in an uncertain and unchartered territory here. But we are confident that we don't see this year very relevant consequence. And also, when you look further out to the projects we are planning for next year and the year after, if the crisis doesn't worsen or come back even bigger than we have seen it the consequences also on the construction will be very little. Now the other question you said, I mean on the big institution yes. I mean, I also made it clear towards the press that, I mean, we were in constant dialogue and we're fighting for a different view because we think the transformation of RWE is very profound and also very swift. We have saved 50% of CO2 emissions over seven years 90 million tonnes on an annual basis. I think the criteria, which we are chosen by Norges is suited to judge whether a company transforms in line with the energy transition or not. I mean, they have two criteria. We need to be below 10 gigawatts of coal capacity. This is what we fulfill. And then you need to be below 20 million tons of coal. I mean, if we source it from a third party it's not a problem. If we do it ourselves, it's a problem and it's difficult to understand. And also, I mean, the clear focus only on coal, I mean, for the environment it shouldn't matter whether the CO2 emissions come from oil and gas or from coal. So – and I mean, when you think the broader term ESG it's not only the E, it's also the S because if we would fulfill Norges' requirement, security of supply in Germany could not be insured. That's totally clear also from the recent announcement of the Bundesnetzagentur where they said RWE is very close to actually dominating the margin. And they want us to shut I mean, half of our drum capacity immediately. It's socially not acceptable not only for the economy overall, but also on the HR side on our people side. And ESG also includes the governance part. And I mean, we are fine, everybody should keep his own house in order. So it doesn't actually trigger any other changes to the lignite phase out plan. But where changes where we potentially pick up our activity is to ensure that the regulators and the politicians step in to define clear ESG criteria. And I think the European Commission is heading exactly in the right direction, because what you should judge is, where are people contributing to I mean the energy transition. And we are investing more than 85% of our CapEx in projects which are currently already fulfilling the green criteria of the European Commission. What Norges actually does is an endpoint of time assessment of where a company is today, but that doesn't have the energy transition.
Alberto Gandolfi: Thank you.
Thomas Denny: Thank you. Next question, please.
Operator: The next question comes from the line of Peter Bisztyga from BofA Securities. Please go ahead.
Peter Bisztyga: Yeah. Good morning. And thanks for taking my questions. So two for me. One just to follow-up on the discussion about renewables. So there seems to be a lot of talk about post-COVID economic recovery fiscal policy focusing on renewables and other sustainable investments. But I'm not sure I've actually seen anything concrete. So I'd be interested in your views as to, what if any concrete policy steps you think are plausible in the regions in which you operate? And my second question is on coal exit. Can you give us an update on when we should expect to draft law? Do you think there's going to be any changes to what you agreed in January? When do you think you'll go through parliament? Thank you very much.
Markus Krebber: Yeah. Thanks, Peter for the questions. On the renewable side, also from our view it's too early to judge. I mean, you have two different, I mean, very strong voices both talking their own books. I mean, some want to delay anything which is directed towards the green energy policies and the Green Deal of the European Union and also maybe delaying another CO2 reduction pass in Europe. The other camp is asking for the opposite that all the fiscal spending should be put into the energy transition. I think, I mean, since we don't know how this crisis will evolve further it's – I think I wouldn't go with one or the other camp, I mean, because it's too early. The only thing, which we know is I mean COVID is a threat. Climate change is also a big threat and climate change doesn't go away just because of COVID. So I think we need to wait what very specific measures are. We currently don't see I mean other than which we know before the crisis. And how the political dynamic will change in Europe, we need to wait for. It's too early. So our base case is actually that we continue with our program. And I think even a change here or a step-up of activities will not change our program in the short term. At least from Germany, when you look here at the recent news, it's more positive. I mean the German government has now confirmed that they increased the offshore targets by 5 gigawatt to now 20 gigawatts by 2030. They are now taking action to get support from the communities for onshore wind and solar installations. So I think there is still an ongoing dynamic to support also the energy transition on a more technical detailed level where it is needed. So this is positive. On European level, I mean I think we need to wait after the crisis how also the political dynamics actually will be afterwards. So to answer your question again, I mean, so we don't see any specific action that has changed by now. Coal exit we still expect the legislatory process to be finalized before the summer break. That was reconfirmed by the German government, so we expect that the law passes parliament before the summer break and that we signed a contract with the government before the summer break. Content-wise nothing has changed. I mean we have a term sheet agreed. And now it's a question to implement the term sheet in the contract but nobody has so far reopened the content and we don't expect it.
Peter Bisztyga: Thank you very much.
Thomas Denny: Thank you, Peter. Next question please.
Operator: The next question comes from the line of Deepa Venkateswaran from Bernstein. Please go ahead.
Deepa Venkateswaran: Thank you. I have two questions. So the first one is on the Taiwan project. Maybe if you could talk a little bit about it. And what is the timing of the auction that you expect? From memory perhaps this project didn't – it already has approval but it didn't win the beauty contest then. And the second question is on your adjusted financial results. Would it be possible to comment about what your expectations for the full year are? So should we sort of assume your €100 million guidance at the CMD plus the €150 million, or do you expect any other to unwind? And it would also be helpful I think for future to have some idea of how these items have progressed in the past because I don't think we were focusing on financial results for the old RWE. But now your dividend is due to a payout so that would be helpful some transparency. Thank you.
Markus Krebber: Yes, Deepa let me start with the second question, the adjusted financial result. So we – for us it's really a – it was an unexpected extraordinary one-off item. We shouldn't expect the same in the future. And it was really because we have seen the severe market turbulences on the FX and the interest rate side. It had two elements the minus €150 million. Around €100 million of that were really losses in the financial asset portfolio. I mean as I said in my speech, we actually usually run a financial asset portfolio because we have overall lower net debt target and when you sum up all our provisions and this is not only invested in government bonds it has also a credit element so corporate bonds and others. And here we have seen losses. And part of that portfolio was actually needed for the payment of the CO2 certificates, which typical happen in the year so we had realized losses. So that shouldn't – we shouldn't see the same again. And the other element is only a mark-to-market loss on the FX swap side. And here I mean, as you know with FX swaps you have an inherent interest rate element. And we have seen very huge interest rate movements. I mean the curve was steeper. The curve – the difference between U.S. and euro change. So there was a mark-to-market change here. That could also revert over time. But I mean, as you said the base case now should be that by year-end, we have – not the minus €100 million we have guided at the beginning of the year but we have maybe an additional minus €150 million. Thomas will talk you through the Taiwan time line. 
Deepa Venkateswaran: Could I just follow up? Why do you have FX derivatives? Is it for hedging your U.S. renewable exposure, or because you don't have any loans or anything? So what is this FX position Tom?
Markus Krebber: Yes that is exactly – I mean that is exactly the problem Deepa because if the debt side would not be provisioned we would typically start funding with a perfect duration mix. Our British pound and U.S. exposure was partly taking U.S. dollar and British pound once. But we cannot do that because our debt side is fixed euro-denominated by provision. So we have to manage the FX risk of our U.S. dollar and British pound exposure by swaps. And that is the background. So the more we utilize our provision the more we are able to also manage our FX exposure by just I mean raising bonds in different currencies which would be much better.
Deepa Venkateswaran: Okay. Very clear.
Thomas Denny: And let me take your question on the Taiwan project. So the project, as you know, is in development stage. The exact timing of the auction is unclear, but we expect it at the end of the current year, maybe beginning of next year.
Deepa Venkateswaran: Okay. Thank you.
Thomas Denny: Next question please.
Operator: Thank you. Our next question comes from Lueder Schumacher from SocGen. Please go ahead.
Lueder Schumacher: Good morning. Also two questions from my side. The first one is on Hydro, Biomass and Gas. Obviously, very good performance capacity market income. It comes about 40% of the improvement. Where does the rest come from? Is it all gas optimization? But related to that, are you seeing that the German peers are also struggling with predicting the new load profiles, and hence there's perhaps even sustained demand for balancing power and ancillary services? Ideally, if you could give us a EBITDA breakdown on that, but I'm not holding my breath but would be great. Second question is on -- just a follow-up on the financial result. You said this was a realized loss you had. So, even the turnaround in equity markets, since the 31st of March will not have helped you there. So, that is a one-off item as you described it, and we should not make any adjustments for a market recovery since. Is that correct?
Markus Krebber: Yeah. Thank you, Lueder. On the financial result €100 million of the €150 million was realized. The rest is on the mark-to-market of the swaps not yet realized. It remains to be seen how the relative interest rate development is for the rest of the year. And the €100 million was realized, because we typically know that we need significant liquidity in the first quarter due to the purchase profile of our CO2 certificates. And we had to realize part of that portfolio, so €100 million are realized. On a Hydro, Biomass and Gas, it is actually not from the balancing and ancillary service side. It's really the optimization of our dispatch. And when you see this significant market volatility as we have seen in the first quarter, you have the interesting situation that lignite doesn't -- and hard coal doesn't run, but the margin is hedged. It's not only price hedged. It's also volume hedged. And then you have, I mean for the flexibility, a higher dispatch from hour-to-hour on the more flexible side, so Hydro and Gas. So you real -- you make your profits on the coal and nuclear side, even without producing. And you make additional money from the very flexible technology and that was what we have realized here in Hydro, biomass, gas.
Lueder Schumacher: Okay. Would it be fair to say that the improvement that is not due to the capacity market is from that activity?
Markus Krebber: Yeah, that's true. I mean you have -- I mean the half of the improvement was from the capacity market and the other half from what I've just explained.
Lueder Schumacher: Excellent. Thank you.
Thomas Denny: Thank you. Next question please.
Operator: The next question comes from the line of Vincent Ayral from JPMorgan. Please go ahead.
Vincent Ayral: Hi. Good morning. So, I would like to do a follow-up actually there just to be sure. So on the question from Lueder, so what we did in effect is make more money on the lignite and coal. They have been put into the Hydro, Biomass, because you basically switched the generation tool to basically produce the volume you had sold, and just to be sure I understand that clearly. And another question would be regarding the outlook for Gas and LNG. You've posted good results here in Q1, yet gas prices are quite weak. And there are some question marks regarding LNG outlook. What is your view there? What is your exposure? How much have you locked of your full year results and guidance on this side of the equation, just to understand if there is any risk there or if actually we should consider this as a I mean half-done deal? Thank you very much.
Markus Krebber: Yeah. Vincent thanks for the question. The first one yes, your understanding is absolutely correct. I mean as you describe it, that is what happened. On the second, Gas and LNG, we are not exposed to the absolute level of Gas and LNG prices. So also we don't run very long-term illiquid contracts, which are not partly then backed by other deals or hedges. So there's no implicit profile of the Gas and LNG, P&L which we know. So it's other than maybe with other companies, who can tell you exactly that they have already locked in significant gains or potentially also losses. That's not the case. I mean it's a full mark-to-market P&L also of that business here, for the illiquid part with significant reserves as you would also do it in trading in banks. So, there is no profile locked in. I mean, we start -- we continue to trading to optimize. So we should from now on for the second quarter and the rest of the year, with our better knowledge assume a normal cost of business in trading and gas and LNG. Does that answer the question?
Vincent Ayral: Yes. Thank you. 
Markus Krebber: Next question, please.
Operator: Thank you. The next question comes from the line of John Musk from RBC. Please go ahead.
John Musk: Yes. Thank you. Good morning, everyone. Two questions. Firstly, on the variation margin outflow. I'm not entirely clear. Was that €1.8 billion in isolation, or is there a couple of other things in that €1.8 billion? And then how should we think about how that might progress over the balance of the year given all the moving commodities? I think the balance was something around €2.2 billion when you last spoke to us. So obviously, most of that has now flowed out of the business. And then secondly, can you give us any, sort of, number for the overall weather impact on the Q1 obviously, particularly in renewables? And I guess, alongside that number depending on the scale of it how confident are you now in the outlook for the year? Is there any thought in your mind that you might be towards the upper end of that outlook given the strong Q1 that we had?
Markus Krebber: Yes, John. Thanks for the question. On the variation margin side it's -- the €1.8 billion is really purely variation margin, but that has two elements. One is the variation margin, which we have to hand back when we actually realized the transaction. That was especially, for the carbon certificates, which we had to buy in the first quarter. That was maybe half of the effect. And so that was expected that was foreseen. And the other half was from the hedges for the future. And here the outflow was driven by the low gas and CO2 prices so by the commodity price environment. If you assume we go back to price levels at the beginning of the year, we would actually expect the half of the €1.8 billion to flow back this year. If you expect prices to stay exactly where they were at the 31st of March, we should not expect any variation margin movements after Q1. But I think, I mean, also when you look at the net debt, I mean, half of the €1.8 billion was expected. The other one is a pure timing effect. So when you look at our projection until the end of 2022 where we are confident with our net debt target, including the existing CapEx program, it comes now earlier. Of course, we need some time that earnings picks up, if it doesn't flow back. So we are not so much -- I mean, I'm not at all concerned about that part because it doesn't matter so much whether it comes this year or it comes 2021 or 2022. And that's why I said in my speech, it's a timing effect and we are not concerned and it will not affect our CapEx program. So -- and you have seen that prices recovered partly in Q2 so part of that could come back. And maybe that gives you an indication how we think about it. And I'm still pretty relaxed about the net debt situation. And we have not seen unexpected or unforeseen or unplanned effects also in Q1. Of course, we have seen timing effects, but that would have come over the next three years anyhow. On the weather effects overall, I mean, we have two segments. I mean the €100 million in offshore is a pure weather effect when you compare it to the pro forma figures of last year. But last year we were slightly below average. So maybe I mean without better knowledge it's 50-50. So 50% is normalization, 50% is above average. And the increase we have seen in the result in onshore wind and solar is 50% additional capacity, 50% weather effect. And there are also maybe half normalization of the weather effect and half better weather conditions across our fleet. I mean it's -- I think your question is absolutely right with this very good Q1 should we now expect that this segment will end up the -- will end the year at the upper end of the range, but since we are still exposed to a lot of effects also weather, I think, it's always too early in -- after Q1 to already give an updated quantitative guidance. But the qualitative message is with the full year guidance on segmental level, but also on net income level we now after the first quarter feel very confident. Got the answer?
John Musk: Thank you.
Markus Krebber: So let’s move on to next question, operator.
Operator: The next question comes from the line of Sam Arie from UBS. Please go ahead. 
Sam Arie: Well, hi. Good morning, everybody. Well, Markus in your last answer you, kind of, took the question out of my mouth. I was going to ask you about kind of Q2 and the rest of the year. But perhaps, I could just ask you a bit more info on that, if I read it this way. I mean, I think in recent weeks we've all been, sort of, very focused on what could be the negative COVID impacts across the sector. What you're presenting today shows that within the mix there are also some positive impact. You talked a lot about the optimization of the trading position and your -- overall your Supply & Trading numbers are pretty as good well this year. So I'm just wondering how much of that -- is this where we were in Q1? And how much of those positives you think carry on through the year -- and simply your thoughts on them? And then just a quick second question. I think you gave us your 2023 numbers on the hedging which you've said €26 after carbon costs. And I know in the past you've sometimes talked about what your total cash production costs are in the lignite business. And I wonder if you could just update what you think the cash production cost will be in 2023 to compare against that €26 hedged position, which is put in place today. Thank you.
Markus Krebber: Yes. Arie, thanks for the two aspects. I mean, first, the optimization and trading benefits we have seen in Q1, they are realized. So they will not -- I mean, they will not kind of revert, but now speculating whether we see as volatile situations as we have seen them in Q1 for the rest of the year that we could expect even more benefits. I mean, that's a bit too early. Let's see how the year goes, but I mean you should not expect that the positive effects here in optimization and trading in Hydro, Biomass and Gas from the first quarter will revert in the rest of the year. They are realized. The question on 2023, I mean, the €22 cash cost we have given I think 3.5 years back they were, I mean, calculated based on the portfolio of lignite that time. I mean, we are now closing significant capacity. And we have to implement cost measures to bring cost down in line with it. So providing you with cash cost per year, I think is not very reasonable, because they will come down over time. They will look not very good in 2023, because we have closed three gigawatts of capacity, but we have not brought the cost down yet, because that will take a bit more time to bring the cost down. So that's why we have given the €600 million midpoint guidance for coal and nuclear for 2022. And I mean, you can now calculate with the volume and price differential between 2023 and 2022 that we lose around, I mean, €700 million €750 million in margin. And I mean you will end up with a zero to €200 million, which we have guided for 2023 if you already assume additional cost savings, but we're going to see later also additional cost savings. They will actually start next year already when we start closing capacity on both sides lignite and nuclear. So from now on, we will probably not guide any cash cost anymore, but we would clearly guide you in absolute EBITDA terms. And the current guidance is, I mean, you're going to expect midpoint €600 million in 2022 and something between zero and €200 million in 2023 and beyond.
Sam Arie: Okay. Great. Thank you.
Markus Krebber: And maybe I can take the opportunity, I mean, just to clarify. I think it should be clear for everybody, but the significant drop in hedge prices in 2023 comes from the closure of zero carbon nuclear production. The underlying hedge prices has not changed so much. But, of course, we lose carbon-free capacity, and that, of course, reduces the spread between outright prices in carbon.
Thomas Denny : Thank you, Sam. Next question, please.
Operator: The next question comes from Ahmed Farman from Jefferies. Please go ahead.
Ahmed Farman: Hi. Thank you for taking my question. Just two from my side. Actually you already touched upon the net debt, but there's quite a sort of a big difference between where the net debt came in the Q1, and I guess what's sort of implied by your targets for the full year. So I'm just hoping if you could help us a little bit with the bridge on over sort of how you see between now and the end of the year. And I guess you already touched one a bit on the variation margin there. So that's the first question. Second question just coming back to I guess the sort of the COVID impact for the year. I mean, you've clearly talked about sort of the positives and clearly a very strong performance, but could you share us what's -- give us -- share with us a number for what has been, I guess, the incremental sort of additional cost increases that you have seen in the first quarter, because of the sort of population containment measures? And how do you see that over Q2? Thank you.
Markus Krebber: Yes, Ahmed on the net debt side we have now €8.7 billion at the end of Q1, and when you take the midpoint guidance for the core business and you believe that we are at three times net debt to EBITDA, EBITDA needs to be somewhere around €7 billion at the end of the year. So we are maybe 1.7% above that. What we can assume that is our operating business will produce as much cash as it's needed for the net investments, which will still come for the rest of the year in the dividend payment. So, where are -- where is the gap coming from? I mean, on the working capital side, we should expect a significant swing. And I mean, of course, gas inventory is always unknown at the end of the year, but when you look at the full year the working capital -- negative working capital effect in Q1 from buying CO2 certificates will level out for the full year. And also the increased receivables from very strong wind production will level out over the rest of the year. So we're going to be left net-net with the reversal of the capacity payments, so we get more than €200 million from the capacity payment, which were in the P&L last year, but we got the cash this year. And we expect lower gas inventory, because that was really more or less at peak at the end of last year and that effect could also easily be €200 million or €300 million. So the swing in working capital from the end of Q1 until the end of the year of around I mean almost €1 billion is a reasonable assumption. And then when you look at the market price movements, which is a pure timing effect we have in Q1 two elements. They're around €800 million variation margin, which I explained a minute ago. And then we have a positive effect on the pension side, which is also not I think a lasting one, because it was purely driven by the significant increase in AA bond spread at the end of March. So that will also partly revert. So this is maybe net-net €500 million. And that reason is a pure timing effect, which I mean you can also -- the net of variation margins and the pension side I mean everything is driven by interest rate movements and commodity prices. If that also normalizes over time we talk about maybe €0.5 billion reversal. So -- and then you are very close to the €7 billion that we have some minor effects on other things. But I mean we are very confident if markets normalize or stay as they are today that we're going to end up at the €seven billion. But I also want to make the point, we don't -- I mean we cannot foresee market developments entirely, so it's very uncertain. So commodity price and interest rate development will have an effect on our net debt figure. But if that is above the three times, it's a pure timing effect and we are still confident it will over the planning period until 2022 not have a negative effect on our growth and CapEx program. And last thing, I mean you know that we still have plenty of financial flexibility because the -- our E.ON stake has worked much more than we actually need to cover the mining liabilities. COVID it's very difficult. I think I mean the additional cost we have seen in the P&L in the first quarter from COVID are close to zero. The real effect we have seen are the €150 million in the financial result, €100 million realized €50 million mark-to-market. And I mean for this year, I would actually expect that we potentially see some rescheduled maintenances of our conventional fleet. So we actually -- we're maybe double-digit lower cost than actually planned for. But of course, we then have to do them next year. So it's maybe then a shift between this year and next year, but nothing which is so significant that I need to highlight it for the guidances of the segments today.
Ahmed Farman: Thank you, Markus. Thank you so much.
Markus Krebber: Thank you, Ahmed. Next question please.
Operator: The next question is from Rob Pulleyn from Morgan Stanley. Please go ahead.
Rob Pulleyn : Thank you. So thank you for that color on the net debt moves there Markus. Could we please just clarify what you assume in the net debt guidance around a couple of those moves i.e. to be specific, is there any reversal of this half of the variation margin included in the net debt guidance? And also is there any asset rotation inflows included in the net debt guidance? I assume not but just checking. And secondly, just for the avoidance of doubt for everyone, could you please remind us how much of the cash inflow from 2018 on variation margin remains on your balance sheet to unwind in future? Thank you.
Markus Krebber: Rob, the easiest one is on the net investment program. So we like to focus on the net investments and that should be €2 billion, €2.5 billion for this year. There are some disposal gains included and the programs have kicked off. I mean we are now testing the markets for two potential disposals. COVID had not yet an effect on that time line and we think we can accomplish them this year. But we still have -- as I said when you look at the pure net debt figure we have lots of financial flexibility, if we have here negative effects on the timing, so nothing where we are concerned about. Next one is on the variation margin assumptions. I mean, if you want to nail me down to give me one scenario, which would bring the net debt to where you expected at the end of the year, I can pick one. And one is are you going to expect the reversal of the non-realized part of the variation margin so half of the €1.8 billion? And I expect the reversal of the positive effect of the pension side. That is an assumption which is then a swing of around €0.5 billion positive net-net, which would bring me to the three times net debt to EBITDA at the year-end. On the question on what remains on the balance sheet, I'm reluctant to answer that, because it's only part of the equation. We are very much focused on variation margins, but we have other non-variation margin elements on the balance sheet, which are also referring to our hedging and of course our sales activity. We sell a lot of gas and power to retailers uncollateralized, so you have positive mark-to-markets on other aspects. But you only focus on the variation margins which we pay to exchanges or get from exchanges. Actually the net-net picture is a totally different one. So -- and that is -- so it has other elements of how our net debt balance will look like because there are realization profiles of uncollateralized deals and it's very difficult, because it would give you the wrong picture. I think when you want more guidance what I said in March at the Capital Market Day, if you assume power and commodity prices being constant at year-end level, the negative effect from backflow of variation margin for this year would be around €800 million to €1 billion. That's what we actually have seen in Q1 already. Everything else is just the timing effect for later years.
Rob Pulleyn: Okay, very clear. Thank you very much.
Thomas Denny: Thank you, Rob. Next question please.
Operator: The next question the next question comes from Pierre Zigalosky [ph] from Citi. Please go ahead.
Unidentified Analyst: Hi, good morning everybody. I have two questions. One, do you -- have you seen any changing of the financial conditions for the renewable project financed through the -- project finance you might be looking? I know you do most of it through your balance sheet, but has that changed? And does this have an implication on the -- we're seeing in light of the COVID crisis, we'll see a change of the valuations of the renewable projects at a multiple megawatt hour? You just mentioned you will try to do two disposals this year. So will that be done at a slightly different valuations?
Markus Krebber: That was one question. Do you have another one, or is that the only one?
Unidentified Analyst: That's the only one.
Markus Krebber: Okay. Thank you. To be very, I mean straight, no, we have not seen any effects from the current situation. But that might also be the case because we currently run very limited project financing activities. If -- I mean the only one that was I mean already locked in was on the Triton Knoll side. And on the other where we do financing is on the tax equity side of our U.S. projects. Their activity has -- is going as -- I mean business as usual. So we have locked in the one for Peyton Creek. I mean, we are well underway with the tax equity providers for the other projects, which will be commissioned this year very close to finalizing the deals also there. And conditions for this financing is -- I mean since it's fully collateralized I mean, not exposed to the current situation anyhow. So the one we got was as expected.
Thomas Denny: Thank you. Next question please.
Operator: Thank you. [Operator Instructions] We have a follow-up question from the line of Deepa Venkateswaran from Bernstein. Please go ahead.
Deepa Venkateswaran: Thank you for taking my additional question. So this is about the 2023 guidance that you'd given in the CMD for the lignite nuclear division. I was just wondering whether the hedge margins or anything would lead to any different view in terms of how you're seeing spreads developed in outer years, or this is exactly -- or alternatively did you already know about this and that is precisely why you gave the guidance that you did give? Thank you.
Markus Krebber: Yeah. Thank you, Deepa. No. I think our hedging approach to carbon very long time until 2030. The fuels also are far out. I mean we are now hedging fuels into the 2023, 2024 area already. So even the current market situation and price movement has -- have not changed the view of the 2023 profitability. I mean if situation stays as they are, of course, they will then kick-in, in later years. But I mean we should expect that one day power demand and prices should also normalize. But 2023 has not changed between CMD and today.
Deepa Venkateswaran: Okay. Thank you.
Thomas Denny: Thank you, Deepa. Are there further questions?
Operator: All questions have now been answered. Thank you.
Thomas Denny: Thank you everyone for the -- tuning in today. If you have any further questions as you know the Investor Relations team is at your disposal for the rest of the day. So have a good day. Bye-bye.
Operator: Thank you very much for joining today's RWE investor and analyst conference call. We wish you all a pleasant day.